Operator: Ladies and gentlemen, thank you for standing by and welcome to SS&C Technologies’ Fourth Quarter and Full Year 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]I would now to like hand the conference over to your speaker today, Justine Stone. thank you, please go ahead.
Justine Stone: Hi, everyone. Welcome and thank you for joining us for Q4 and full year 2019 earnings call. I’m Justine Stone, Investor Relations for SS&C Technologies. With me today is Bill Stone, Chairman and Chief Executive Officer; Rahul Kanwar, President and Chief Operating Officer; and Patrick Pedonti, our Chief Financial Officer.Before we get started, we need to review the Safe Harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent Annual Report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, February 12, 2020. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so.During today’s call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today’s earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I’d also like to request that when we get to the question-and-answer section of the call, please limit yourself to one question and one follow-up.Thank you and I will now turn the call over to Bill.
Bill Stone: Thanks everyone for joining us today. Our results for the fourth quarter are $1,212 million in adjusted revenue and $1.08 in adjusted diluted earnings per share. Our adjusted consolidated EBITDA was $490.5 million and our adjusted consolidated EBITDA margin was 40.5%, up 180 basis points from Q3. Q4 organic revenue growth was 4.7%. the beat was largely driven by revenue growth in our software businesses and strong growth in our fund administration business.2019 net cash from operating activities came in very strong at $573 million for the fourth quarter and $1,328.3 million for the year. Our 2019 adjusted net income was $1,010.9 million giving us a 131% cash conversion rate. We paid down $1.123 billion in debt last year and over $2 billion since the April 2018 DST acquisition.Our secured net leverage ratio is 2.7 and our total net leverage ratio was 3.77. In January this year, we re-priced our secured credit facilities from LIBOR plus 225 to LIBOR plus 175; we expect to save over $25 million annually in interest costs.We’ve closed on the Algorithmics acquisition, which brings a host of software and services covering market risk, credit risk, balance sheet risk, asset management risk and insurance risk. These solutions cater to the existing SS&C customer base as well as significantly extend SS&C’s reach into financial risk management. Algorithmics has developed sophisticated ways of calculating and managing large amounts of data at scale. Additionally, Algorithmics offers a variety of micro services, which we can embed into SS&C’s reporting engines furthering – further enabling our clients.Now, I will turn it over to Rahul.
Rahul Kanwar: Thanks, Bill. We had a good quarter in revenue growth, cash flow generation and exited the year with over 40% EBITDA margins. Advent institutional and investment management, Intralinks and SS&C GlobeOp, all contributed nicely to overall strong results across our business. We remain focused on innovation to constantly deliver increased functionality to our customers and differentiate our product and services.Our asset management solutions business developed advanced bank verification, which enhances account security and we expect the majority of our asset management client base to adopt this capability throughout 2020. In health, we piloted a broad waste and abuse tool used to identify and prevent the payment of suspicious claims. This further diversifies our healthcare offering and expands our target market.Our Intralinks business released new deal marketing, WiFi due diligence and investor vision platforms as well as frictionless deal prep. The frictionless deal prep allows our customers to easily spin up virtual data rooms without time-consuming contracts or licensed commitments. We look forward to delivering significant enhancements across our product suite in 2020 to help us drive revenue growth.Now, I’ll mention some key deals for Q4 2019. The global asset manager based in Boston chose SS&C’s full suite of hedge fund services. They were particularly impressed with our e-investor and investor vision products and existing private equity clients switched from a big four accounting firm to SS&C for tax services. An $8 billion UK-based family office chose a suite of Advent products to satisfy their portfolio management and trading needs. A European fund administrator and existing client, greatly expanded their commitment to Advent Geneva, an asset manager with $4.5 billion in assets chose to partner with SS&C to build out asset management functionality and as Eclipse, a health plan out of New Mexico chose SS&C health BPO services, a $50 billion plus in asset manager and an Advent client since 1992 expanded their monthly license for additional seats and existing UK-based client expanded their use of our workflow product, AWD.I will now turn it over to Patrick to run through the financials.
Patrick Pedonti: Thanks, Rahul. Results for the fourth quarter of 2019 were GAAP revenues of $1,203.5 million. GAAP net income of $141.6 million and diluted EPS of $0.54. Adjusted revenue was $1,212.2 million excluding the impact of adoption of the revenue standard 606, acquired revenue adjustment for DST Intralink’s and Algorithmics acquisitions.We had a strong quarter, adjusted revenue was up 7%, adjusted operating income increased to 11.5% and adjusted diluted EPS was $1.08, a 13.78% increase over the fourth quarter of 2018. Adjusted revenue increased $79.4 million or a 7% over Q4 2018. The acquisitions of Intralinks, Investrack and Algorithmics contributed $48.1 million in the quarter. Foreign exchange had an unfavorable impact of $1.4 million or 0.1% of the quarter. Organic growth on a constant currency basis was 4.7% driven by a strength in the institutional investment management, alternatives in the Advent businesses.Adjusted operating income for the fourth quarter was $470 million and increased to $48.5 million or 11.5% over the fourth quarter of 2018. Foreign exchange had a negative impact of $0.4 million on expenses in the quarter. And adjusted operating margins improved from 37.2% in the fourth quarter of 2018 to 38.8% in the fourth quarter of 2019. Adjusted consolidate EBITDA defined in Note 3 in our earnings release was $490.5 million to 40.5% of adjusted revenue, an increase of 10.3% over Q4 2018.Net interest expense for the quarter was a $100.5 million and includes $15.1 million of non-cash, amortized financing costs and OID. In addition, we expensed deferred financing costs associated with the payoff of our B1 term loan. The average interest rate in the quarter for the credit facilities including the senior notes was 4.53%, compared to 4.77% in the fourth quarter of 2018.We recorded a GAAP tax provision of $19.3 million or 12% of pretax income. For the full year, the GAAP tax provision was $93.2 million or 17.5%. Adjusted net income was $284.6 million and adjusted EPS was a $1.08. Adjusted net income excludes $162.2 million of amortization of intangible assets, $16.7 million of stock based compensation, $15.1 million of amortization of non-cash amortized financing costs and OID, $11.2 million of purchased accounting adjustment, mostly deferred revenue adjustment and depreciation related to the revaluation of assets for acquisitions. $6.7 million for revenue adjustments related to adoption of standard 606 and $13.3 million of non-operating costs including $7 million of foreign exchange impact, $3.8 million in legal settlements and $4.5 million in severance costs related to staff reductions.This was offset by $4.5 million gain in mark-to-market adjustments on investments. The effective tax rate we used for adjusted net income was 26%. Diluted shares increased 3.4% in the fourth quarter, mostly due to the shares issued for the Intralinks acquisition in 2018 and option issuance, and this was offset by the third quarter 2019 share repurchases. On the balance sheet and cash flow, as of December 31, we had approximately $153 million of cash and cash equivalence, and approximately $7.2 million of gross debt or net debt position of $7.1 billion.Operating cash flow for the 12 months was $1,328.3 million, a $688.2 million or 107% increase compared to the same period of 2018. Highlights for the 12 months are we paid net debt of $1,123.8 million and that brings a total to $2,046.6 million of debt paid since we did a DST acquisition. For the year, we paid $353 million of cash interest compared to $268.1 million in 2018. And cash taxes for 2019, we paid $222.7 million compared to $143.4 million in the same period last year.Our accounts receivable DSO was 49.7 days as of December, compared to 51.2 days as of September 2019. We used $130.4 million of cash or 2.8% of revenue – adjusted revenue of mostly for capitalized software, IT, and leasehold improvements. For the year, we declared and paid $107.7 million in common stock dividends, compared to $70.9 million last year. And we’ve received the option exercise proceeds of $125.7 million compared to $84.9 million in 2018. Treasury stock buybacks, we’ve made treasury stock buybacks of $60.3 million and 1.3 million shares at an average price of $45 in the third quarter of 2019. The impact on diluted shares in the quarter was 1.3 million for the fourth of quarter 2019.Our LTM consolidated EBIDTA, which is used for the covenant compliance was $1,877.5 million as of December and includes $49.6 million of acquired EBITDA and cost savings related to the acquisition. Based on the net debt of approximately $7.1 million, our total leverage ratio is 3.77 times and the secured was 2.7 times as of December.Our outlook for the year – for the first quarter of 2020, our current expectation for the first quarter is adjusted revenue in the range of $1,150 million to $1,109 million. Adjusted net income of $248.5 million to $264.5 million and diluted shares in the range of $267.5 million to $268.5 million and we expect the adjusted tax rate to continue at 26%. For the full year 2020, our current expectation is adjusted revenue in the range of $4,692 million to $4,852 million. Adjusted net income of $1,084.5 million to $1,139.5 million and diluted shares in the range of $270 million to $273 million.Organic growth for the year is expected to be in the range of 0.5% to 3.9% for the full year. For the full year, we continue to expect the adjusted tax rate to be 26% and cash from operating activities to be in the range of $1,220 million to $1,260 million, and capital expenditures to be in the range of 2.9% to 3.1% of adjusted revenues.And I’ll turn it over back to Bill for final comments.
Bill Stone: Thanks, Patrick. 2020 is off to a good start. Just the other day, we announced the Ares’ management and Alternatives’ clients with $1,144 million [ph] in assets as extended its outsourcing relationship with SS&C. Originally selected to provide fund administration and middle office services for a portion of Ares’ business. SS&C now supports Ares across credit, private equity and real estate. Ares is an important client for SS&C, and we remain focused on delivering innovation and expertise to help Ares fulfill its strategic objectives.We have also entered into a multi-year renewal agreement with Humana, one of SS&C Health flagship clients. This agreement extends our relationship with the healthcare provider to engage SS&C Health as a technology partner beyond pharmacy claims processing. We will deliver a range of digital technologies to support Humana’s strategy of providing an integrated healthcare approach, simplifying the healthcare experience and reducing healthcare expenses. SS&C Health is marketing to a different [indiscernible] and we appreciate Humana’s recognition.Now, I’ll open it up for questions.
Operator: [Operator Instructions] Your first question comes from Brad Zelnick with Credit Suisse. Your line is now open.
Brad Zelnick: Fantastic. Thank you so much and congrats on a strong finish to the year guys. My question first is just on pricing. Last quarter, you’ve talked about being more methodical about price increases and you give us an update on your initiatives across the businesses and the timeline for when these changes might actually be taking effect. And what are the opportunities across the portfolio? Which businesses would seem more ready to take price increases?
Rahul Kanwar: So, Brad, this is Raul, just to give you an update. We’ve been working pretty methodically through that price process. I’d say probably for two months or so now and we expect to continue working on it through the end of the quarter and maybe into April. In our software businesses, Advent and institutional investment management, et cetera, we already had a reasonably good process for contractual price increases. So, while we’re taking a look at those businesses, I think the biggest opportunity for us is in some of our outsourcing businesses, where we haven’t in the past been as diligent, so that includes funds, services and others. And we’re working through that with customers. And thus far, they’ve been pretty receptive to that process and it’s going well.
Brad Zelnick: Thanks for the color, Rahul. And just maybe, to follow up on software-enabled services versus revenue that appears in a license maintenance and other line. I think just the mix of what – we were modeling and perhaps others came in a little bit differently than expected. Can you just remind us, Patrick, maybe, the rhythm of the business and as we model these lines going forward, how we should think about, where the value and the revenue ends up showing up?
Rahul Kanwar: Well, Brad, I think, when you look at our business, I would say that the software-enabled services business is by far our largest business and that is primarily a monthly pay business. And I think it’s almost all recurring revenue. And then obviously, in the software businesses, more and more of that is becoming term licenses rather than perpetual licenses, so that has a much higher recurring places in it aside from maintenance and then that business still has some into the quarter types of accelerations.
Brad Zelnick: Okay. Thanks so much. Nice job, guys.
Operator: Your next question comes from Ranya Kumar with Evercore ISI. Your line is open.
Ranya Kumar: Good evening. Thanks for taking my question. You call that a pretty large range for the organic growth for 2020, the 0.5% to 3.9%, what factors have to be in place to get you to the high-end versus the low-end? And then secondly, if you can just call out your expectations for the first quarter organic growth.
Bill Stone: Yes. I think right now, as far as the spread is we’re getting into larger deals, and I think that as we close these deals, I think, the organic revenue growth goes up. But we’re not trying to get ahead of ourselves and we’re trying to make sure that, that our guidance to you is both directionally the right way. And then also from a magnitude standpoint that we’re giving you how we look at it. And then I think the first quarter Patrick, do you have that right in front of you maybe?
Patrick Pedonti: I do. The first quarter is very similar to the full year. On the low-end, it’s 0.4% increase and in the high-end, it’s 3.8% increase.
Ranya Kumar: Great. That’s very helpful. And just as a follow-up, what are your expectations for top-line growth for alternatives business in DST and software, so we can have a good breakdown of the drivers for the organic growth?
Bill Stone: Well, I think Ranya, what we have traditionally thought is, is that a fund administration business is going to be mid single-digit. The DST business is going to be flat to plus 1% to minus 1%. And then our fund serve – our software business will probably range somewhere in the 3% to 5% range.
Ranya Kumar: Thank you.
Operator: Your next question comes from Andrew Schmidt with Citi. Your line is open.
Andrew Schmidt: Hey guys. thanks for taking my questions. First question on DST. You guys have made some sales changes there last year. Well, DST and then across the business as a whole, but or if you talk about just any changes in the pipeline, you’ve seen or just generally, how the pipeline is shaping up across healthcare, financial, the financial institutions segment, things like that. Any color on the impact that the sales changes have had would be helpful.
Bill Stone: Yes. I would say again, that I think our biggest acquisition prior to DST was GlobeOp and GlobeOp had about 2,500 people, and DST had 16,500. So, we’re not finished. So, there’s still a lot of work to do, but we’re making progress. And I think that that we worked hard on Humana. We spent hundreds, if not thousands of hours and working with Humana. And it’s pretty rewarding to see that they signed up with us and we think we’re going to have a larger and larger relationship with them. And they’re very demanding, which helps our business. So, we have some pretty high hopes in the healthcare space.I think there’s still some fundamental things going on in financial services and the mutual fund industry as far as active to passive and sub-accounting versus full mutual fund accounting. But again, we’re innovating; we’re bringing new people into it. We’re adding apps and other things that we think are going to help us over the long-term. And over the short to medium term, we’re making a whole lot of money.
Andrew Schmidt: Got it. That makes sense. And then just as my follow-up, you guys did a good job of delevering in the fourth quarter and quickly reaching targeted debt levels. with your cash flow this year and reaching targeted debt levels, can you talk a little bit about just priorities for use of cash and then just any comments about around the M&A pipeline, whether there’s any sizable deals out there you think are – can be realized or just anything of that nature would be helpful?
Bill Stone: Yes. I mean we have a strong pipeline on acquisition prospects. I wouldn’t say we have anything of a $1 billion sized or such, but we have several in $100 million range and similar to Algorithmics. And I would say that we’re active and we try to be disciplined in that process and that’s going pretty well for us. And I think that we will probably execute on a couple in the first couple of quarters.And the other stuff – I’m sorry, the other stuff about using our cash is that I think in the first quarter, we maybe have already paid down another $100 million or so. And we have so much cash flow that share buybacks look increasingly attractive when we make this much money and we have this much value we think in our share price. So, I think that that’s something that we might use some more of that $500 million authorization we got a few quarters ago. But again, we’re very disciplined about it and we want to make sure that financially, we remain very, very strong.
Andrew Schmidt: Understood. Thank you, guys.
Operator: Your next question comes from Alex Kramm with UBS. Your line is open.
Alex Kramm: Yes. Hey, good evening. just coming back to the organic growth outlook for a second here, not to put you too much on the spot, Bill, but I think last quarter, you made a comment that you’re hoping to get back to 3% to 5% in 2020 already. It was probably a more of a off-the-cuff comment, but now that we have like more exact guidance, maybe, bigger picture, what do you think the biggest difference are now versus what you were thinking, obviously, done better in the fourth quarter. Is it a little bit of a base effect or are some businesses still doing a little bit worse than you originally had thought maybe 90 days ago?
Bill Stone: Yes. I think Alex, it is that, some of the stuff came in Q4 that we might have thought what’s going to come in Q1. In this – the accounting in this stuff is byzantine at best, right? So, when you look at 606 and some of these other things, to be able to truly predict for you when somebody goes from a three-year deal to a five-year deal and all of a sudden you’re recognizing two or three times as much money as what you were expecting to recognize, it becomes a little more of a guess. And so I think we have plenty of stuff in the pipeline. I think there’s all kinds of stuff and it’s a little bit like last year, you start looking at things and they’re not closing, you start wanting to give you guys and gals more information and then they start closing and then it looks like whipsaw. So, I think that that that’s more of the nature of the businesses that we’re in, the size of the deals that we have opportunities of and then that the impact of winning on our financial statements is pretty unique and pretty impressive.
Alex Kramm: Okay, fair enough. And then very quick, one for Patrick, I guess can you just – how much interest expense are you building into your budget and does that contemplate or does your guidance actually contemplate further debt pay down from here? Or is it as off today?
Patrick Pedonti: No. When we provide our guidance, we just assume that all free cash flow is going to go to pay down debt, if that’s what’s assumed in our guidance. And then on interest expense, we think it’s a plus or minus in the range of $290 million for the year.
Alex Kramm: Okay. That’s all I want to. thank you.
Operator: Your next question comes from Surinder Thind with Jefferies. Your line is open.
Surinder Thind: Good afternoon. Congratulations on a strong 4Q here, gentlemen. I’d like to start off on a question about the margin profile or your expenses. Can you provide a little bit of color in terms of how we should be thinking about the trajectory forward or what the current baseline is? As I look back over the couple quarters, it seems like your ability to generate additional cost savings continues to surpass expectations. And so how should we think about margins and maybe, margin improvement in the year ahead?
Bill Stone: Well, we prefer to outperform them to underperform. So that is consistent with our objectives. It’s a big place now, right? And so there’s lots ways to manage costs and keep people aware of things that we can do in a bit more efficient basis. We’re still a very high margin place and we don’t – we don’t toss nickels around like their manhole covers. But we do pay attention to expenses and we have a solid management team, and Patrick’s got a solid finance and accounting team that pays attention. And so I think that we will continue to get more efficient, continue to get more productive, and I think that will translate into additional cost savings.
Surinder Thind: That’s helpful. And then one – I kind of think about the year ahead, any color you can provide on just kind of how as the Intralinks ended 2019 versus 2018 and kind of how you’re thinking about them in the year ahead at this point?
Bill Stone: Well, I think in general, we have new management in each one of those businesses and I would say that right now, the Intralinks business is quite strong. They brought out a number of new products and Bob Petrocchi and Ken Bisconti are doing a great job and Mike Hutner over in Eze is also doing a great job. He’s got some headwinds still about how much volatility we’re having in the equity markets and the more the merrier for his as far as that’s concerned. And so no – but we have the Eclipse is gaining momentum. We got a talented team and I think overall those will prove to have been a wise decision.
Surinder Thind: Thank you. I’ll get back in the queue for follow-up.
Operator: Your next question comes from Chris Donat with Piper Sandler. Your line is open.
Chris Donat: Hi, guys. thanks for taking my question. So, it was definitely a strong quarter for revenues relative to year 4Q 2019 guidance. Can you talk about some of the drivers you saw there? I heard your comments earlier, bill, about strength in the software businesses and fund administration, but is there any other detail that you can provide?
Bill Stone: Well, again, I think, I think that we signed a couple of multiple year deals with 606, you’re recommending – recognizing $10 million and other things of that nature that coming into the business and you're going have some strengths in certain quarters and you’re going to have a little less strength than other quarters. And reality is the business was the same in both quarters. It’s just a question of did the contract get signed on June 28 or July 3rd. And so I think that’s before, it wasn’t quite as much of a swing. But it’s pretty dramatic now.
Operator: Your next question comes from Dan Perlin with RBC Capital Markets. Your line is open.
Dan Perlin: Thanks. and congrats on ending the year so strong. The question I had is around this license and maintenance line. I mean, it was a big quarter. I’m just trying to make sure I understand kind of what’s in it. So, you did $48 million of acquired revenue, how much – is there a big chunk of that that falls into that Bill? And that’s really is the first, I’m trying to understand kind of what’s embedded in that a significant step-up. And I understand that the whole cadence idea about one quarter is better than the other, but it’s a – I mean, it’s pretty dramatic.
Bill Stone: Well, and again, we won some pretty big deals that we got to recognize pretty significant money in the fourth quarter – in the third and fourth quarters. And that’s been something that has driven that line and I think that we have increasing numbers of products that we’re selling that is giving us opportunities to have pretty dramatic changes. Hopefully, they’re dramatic to the upside, but they won’t always be, it’s just – that’s not the nature of how this all operates, but we’re bigger and bigger and we’re more extended with better people all over the world. And I think we’re going to have – we’re going to have a really good 2020.
Patrick Pedonti: I think on acquisitions.
Dan Perlin: Yes.
Patrick Pedonti: In that line, I think there’s about $3.8 million of Algorithmics in that maintenance of term license slide and the rest of it is all large multi-year contracts we signed.
Dan Perlin: That’s awesome. So to that same extent, just extending on that theme for a second, you have talked about – when you’re looking at opportunities, they are more sizable than maybe they have been in the past this quarter obviously with what you just described clearly indicates that you’re winning those. So, how do we think about SS&C going forward when you’re talking about winning these deals? I mean, in the past they were smaller. Now, they’re clearly much, much larger. Does that mean it’s going to be the duration between these; they’re going to be bigger or longer? Or is it going to be that much more lumpy? Is it going to skew more towards these licenses now do you think? I’m just trying to get a handle on how we frame what 2020 looks like? Thank you.
Bill Stone: Yes. I mean, I think that there’s – you have to – you have to stay close to the market. You have to be willing to present to that market. The way in which it wants to consume your products and services, some – it used to be that big debate between perpetual and term. Now, it’s a big debate between full outsourcing, some outsourcing, some hosting, what your contracts, some are two years, some are four years, some are one year, some are three years, some are 10 years. So Dan, depending on what that mix is in any particular quarter is what’s going to really determine. How big of amplitude you’re going to have in the change from quarter-to-quarter?So, I don’t think it’s that much different, although we’re bidding on $400 million a year stuff, right. And again, it’s not – we’re not right at the precipice of signing one of those, but we’re knocking on the door and enough of them, and we’re getting better each time. And I think that we manage our business pretty well and I would guess that the next five years will look like the last five years.
Operator: Your next question comes from Mayank Tandon with Needham. Your line is open.
Mayank Tandon: Thank you. Good evening. Bill, Rahul mentioned several dealings and maybe, Rahul can answer this, but just wanted to get a sense of those deal wins. What were the determining factors on those wins? Is it product capabilities? Is it price, other factors that may have played a role in tilting the balance in your favor versus your competition?
Rahul Kanwar: Mayank, if I kind of just looked down the list, I would say that the fund services wins and there’s a number of them, right? There’s a family office, there’s an asset manager, there’s a private equity client in general. We have – we think much more capability in that marketplace then the folks we compete against. We’re the only software company. We’re the biggest fund administrator we have over any number of years built a pretty impressive array of additional modules and services. so that when a big organization looks at us, not only can we address their core requirements, but also do lots of other little things that are sources of operating leverage to have us do them.on the software side and we had a number of large software deals as we’ve talked about, I think it once again, is a combination of that software is benefiting from the user base that we have collected, both in our license customers and the fact that many of these systems we’re using ourselves and continuously improving. So, when we go out in the marketplace and we’re constantly looking at our sales force and making sure we’ve got the right people showing up with the right meetings and going through their presentation and the best way possible. And as bill said, we’re getting better. Right. And I think that’s really what’s reflected in these deals.
Mayank Tandon: Right. Okay, great. That’s helpful. And then bill, what is the healthcare growth and margin profile look like versus your core financial focused business and just given the success you’ve had with Humana should be then look for the next big deal to come on the healthcare side, where there seemed to be a lot of opportunities versus on the core financial services side.
Bill Stone: Well, from your lips to God’s ears, Mayank, we think there’s a number of big deals in healthcare. We run that business that I think about 30% margins. We have opportunities to improve that and we’re working on those. Sean Hogan who runs that business has done a really nice job for us and he’s got a good team and we have a bunch of people that are out there knocking down doors and we have some new applications that are coming out that, that I think are being well received. And, you know, it – those tend to be pretty big revenue opportunities and the more – the more innovation, the more technology we can bring to bear, I think the more our margins go up and our revenue profile improves.
Mayank Tandon: Okay. Well, fair enough. Thanks, bill.
Operator: Your next question comes from Chris Schuttler with William Blair. Your line is open.
Chris Schuttler: Hi guys. Good afternoon. How much do you expect pricing to contribute to revenue growth in 2020 and how much did it contribute in 2019?
Bill Stone: I think that, I don’t know that we have completely quantified yet, because we’re still working through the process of discussing with customers, things like that. But I would say that out of the revenue range that or the organic growth range that Patrick laid out, maybe, 15%, 20% of that and the high-end might be – might come from pricing.
Chris Schuttler: Okay. How fast did the alternatives business grow in the fourth quarter?
Bill Stone: About 5% I think. Right, right. I think it’s a little just higher than that.
Chris Schuttler: Okay. And lastly, can I just ask about the share count? I think it was $264 million in the quarter, fully diluted. Why there’s the jump in Q1 and further for the full year, just wondering how conservative that is?
Patrick Pedonti: Well, the diluted share count is very sensitive to stock price.
Chris Schuttler: Yes.
Patrick Pedonti: And I think, I think the average stock price in Q4 was $56, right.
Chris Schuttler: Got it.
Patrick Pedonti: Yes. So that has a big impact. So, it’s really not – there’s going to be some option exercises, but typical most likely, but the big difference is how diluted shares is calculated based on the stock price.
Chris Schuttler: Okay. That makes sense, Patrick. thank you.
Operator: Your next question comes from Peter Heckmann with Davidson. Your line is open.
Peter Heckmann: Hey, good afternoon. Congratulations on that Humana extension. That was one we were looking at. Had there been any developments as regards the Cigna piece, which I think is scheduled to renew here within the next 20 months or so?
Bill Stone: I think we have a contract with Cigna through 2022. So, I – it’s not quite 20 months, but I mean, come on, they bought Express Scripts. We’re not hanging our hat on Cigna, continuing to have us handle their pharmacy claims. But we have other great relationship with Cigna and we have other ways to replace that revenue and we’re a big customer of Cigna’s. So, we’ll replace some of it or we will be such a big customer. So, how that game works and we can play too.
Peter Heckmann: That’s right. That’s right. And Patrick, just from housekeeping standpoint, the revenue at DST that stemmed from customer contracts that it traded out prior to the close of the deal. Can you quantify that any trailing drag here into 2020?
Patrick Pedonti: I think, I think in 2020, it’s $42 million.
Peter Heckmann: And more front half loaded, I would assume.
Patrick Pedonti: I think it’s just pretty even.
Peter Heckmann: Okay.
Patrick Pedonti: Pretty – I mean it’s a little bit front-loaded. There’s probably like, I think it’s $46 million for the whole year and the current estimate is that it runs $15 million, $11 million, $10 million and $10 million.
Peter Heckmann: Great. Thank you very much.
Operator: Your next question comes from Ashish Sabadra with Deutsche Bank. Your line is open.
Ashish Sabadra: Thanks. Let me add my congratulations as well to such a strong quarter. A question on innovation. So, Rahul, you mentioned a number of new product innovation that you’ve introduced in the market and maybe, you can just talk about the receptivity of that product. And as we think about the innovation building up and helping drive more events, how should we think about the contribution from innovation in the midterms over the next three years? How should we think about the contribution from these new product innovations? Thanks.
Rahul Kanwar: So, I think on the first part of it, right, the way, Ashish, we go about building these things is, we try to get some anchor clients and we try to get market buy-in, right? And that’s how we embark on some of our largest projects. So, we certainly, when we complete them, already have validated that there will be good market reception. And that’s been the case. That’s been the case for some of the development we talked about in the Intralinks business. It’s certainly the case. So, what we do with our portfolio systems and things like that. We expect that to continue. And one of the biggest ways, in which we differentiate ourselves from the others in the marketplace and really bring a lot of value is continuing to add product, continuing to add features and functions, and just try to understand what customers are dealing with whether it’s the demands of big institutions or demands of regulators and how we help them solve that. So that’s a big part of our sales and revenue growth process and we expect that to continue over the next several years.
Ashish Sabadra: And that’s great. And then maybe, just a question on pricing. Should we think about these pricing increases as a one-time or is there opportunity for you to continue to have pricing increases on a more annual basis going forward? I just want to better understand the pricing power in the business. It seems like it’s pretty good, but if you can just provide some more color on that trend. Thanks.
Rahul Kanwar: I think the way we’re doing this with our customers, particularly in businesses, where we haven’t done it on a consistent – in a consistent way is we are setting the expectation that this is an annual conversation, right? So, we’re just kind of why we’re being thoughtful about it, right? We’re really not trying to annoy people or get into long discussions. We’re just trying to have cost of living type increases, and take a look at an account review and do that in a pretty formal way once a year and we think the customers that are receptive. and we’ll make that a part of our normal practices going forward.
Ashish Sabadra: That’s great. Congrats once again on such a solid quarter. Thanks.
Operator: Your next question comes from James Faucette with Morgan Stanley. Your line is open.
Unidentified Analyst: Hi guys. This is Jonathan on for James. congrats on the quarter and thanks for taking my questions. I want to dig in a little more on pricing action. You mentioned that you’re working through the pricing process for about two months. Have you seen any customer attrition because of that?
Rahul Kanwar: We have not. In fact, I would say that the conversations we’ve had, the targets we set by customer or pleasantly surprised by how close and in some cases, how much better we can get. So, it is going pretty well, but we’re being thoughtful about it. We really value those relationships. We want to make sure that we’re bringing a lot of value, but now, we really haven’t had any negative fallout as a result.
Unidentified Analyst: Got it. That’s helpful. And you mentioned some of the deals that came in during the quarter or expected it to be in Q1. Can you give us the impact of that benefit of the quarter?
Bill Stone: Yes. I wouldn’t say that we have that as a number for you. And even that as to how much revenue, you’d almost have to go back deal by deal and we haven’t done that.
Unidentified Analyst: Got it. Thank you.
Operator: [Operator Instructions] Your next question comes from Jackson Ader with JPMorgan. Your line is open.
Jackson Ader: Great. Good evening guys. Thanks for taking my questions. I apologize if you addressed this on the call, we just said bounce around a little bit, but was there any impacts from some of the market volumes coming year-over-year comparison in the fourth quarter, relative to the fourth quarter of 2018 on the Eze business in terms of trading volumes?
Bill Stone: Very little, probably some, but really not material either to Eze or certainly not to the company.
Jackson Ader: Okay. fair enough. And then an update on the RIA business, we know that this has been certainly a tailwind over most of 2019. What should we be expecting here in 2020 from that business?
Bill Stone: I mean that’s been growing at 20%, 25% a year for a number of years. I would guess it will continue to do that. And in 2020, obviously, the investment situation is something to – we monitor closely. and so I think that that’s a good business. It’s going to continue to be a good business. There’s a lot of activity there and Black Diamond and our team is a strong team.
Jackson Ader: All right. Thank you.
Operator: There are no further questions at this time. I would now turn the call back over to Bill Stone.
Bill Stone: Well, again, thanks all of you for listening in. We feel very good about our Q4. We feel very good about 2020 and we look forward to talking to you at the end of the first quarter. Thanks.
Operator: This concludes today’s conference call. You may now disconnect.